Operator: Good morning and welcome to the World Acceptance Corporation sponsored fourth quarter press release conference call. This call is being recorded. [Operator Instructions] Before we begin, the corporation has requested that I make the following announcements. The comments made during this conference call may contain certain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 that represents the corporation's expectations and beliefs concerning future events. Such forward-looking statements are about matters that are inherently subject to risks and uncertainties. Statements other than those of historical facts, as well as those identified by the words anticipate, estimate, intend, plan, expect, believe, may, will and should or any variation of the foregoing and similar expressions are forward-looking statements. Additional information regarding forward-looking statements and any factors that could cause actual results or performance to differ from the expectations expressed or implied in such forward-looking statements are included in the paragraph discussing forward-looking statements in today's earnings press release and in the Risk Factors section of the corporation's most recent Form 10-K for the fiscal year ended March 31, 2019, and subsequent reports filed with or furnished to the SEC from time to time. The corporation does not undertake any obligation to update any forward-looking statements it makes. At this time, it is my pleasure to turn the floor over to your host, Chad Prashad, President and Chief Executive Officer.
Chad Prashad: Good morning. This is Chad Prashad, President and CEO of World Acceptance. I'm also joined by John Calmes, our Chief Financial and Strategy officer; and Luke Umstetter, General Counsel. I trust that you've all had a chance to read our press release and the earnings transcript that we released earlier this morning. At this time, we'll then open up to any questions that you may have.
Operator: [Operator Instructions] The first question comes from Kyle Joseph from Jefferies.
Kyle Joseph: Just regarding the acceleration of growth you guys are seeing, can you give us a sense for what's driving that? Any changes in the competitive environment? Or is it more a thing -- more initiatives you guys have undertaken because it's continued to accelerate? So you obviously guys are doing a good job, but just give us a little more sense of what's driving that.
Chad Prashad: Yes, sure. So this past year, we did have a couple of acquisitions in the third quarter, which contributed to about 4% of our total year-over-year growth.
John Calmes: 4% to 5%, yes.
Chad Prashad: 4% to 5% of our total year-over-year growth out of that 12.3% growth that you see for the year. The rest of the growth, the organic growth of around 8% or so, 7.5% to 8%, most of that has to do with improvements in marketing, also increased digital presence and just general referrals and word-of-mouth from our customers.
Kyle Joseph: Got it. And then additionally, it looked like the insurance revenue has accelerated. Anything driving that? Is that anything related to new customers? And is that a trend we can expect to continue?
John Calmes: So a lot of that is driven by where some of the growth had been. And some of the acquisitions that we've had over the last year have been in states that rely on insurance products. So it really would be a function of where the -- which states the growth happens in. But it should grow, all things equal, in line with overall growth of the portfolio.
Kyle Joseph: Got it. That's helpful. And then shifting to credit. Totally understand how new accounts impact credit performance and the dynamics there, just want to give us -- get a sense for repeat borrowers, what kind of credit trends are you seeing there? Have those been fairly stable?
Chad Prashad: Yes. Across the board for customers that have a lot of tender with us or repeat customers, we're seeing similar to improved delinquency and charge-off rates.
Kyle Joseph: Got it. And then lastly, on the buybacks, so you guys did about 600,000 shares in the quarter. Can you just remind us your remaining authorization and your appetite?
John Calmes: Sure. So at the end of the quarter, we had 2.4 million available under the current authorization, and we have around 22.3 million available under the current credit facility structure, adding on 50% of the Q4 net income. We still see repurchase as an attractive option for -- an attractive use of capital in the short term and medium term.
Kyle Joseph: Got it. One last one from me, apologies. Can you just talk about the delay in tax refunds and any impacts in the quarter?
Chad Prashad: So I think, overall, we haven't seen a huge impact to us throughout the fourth quarter. Most of our tax refunds, it seems to come in, in late February to early March, just about a week later than last year. We did experience an increase in our tax preparation this year. I think we're up about 17% year-over-year in a number of taxes that we prepared and filed. And the -- either the government shutdown or the proxy we offer or some combination of the 2 may have contributed to that increase.
Operator: [Operator Instructions] We'll take the next question from John Rowan at Janney.
John Rowan: Just -- I mean how I had the repurchase model is basically 50% of net income. But it seems like -- in the fourth quarter, was that a catch-up because of kind of the institution of the program that you could maybe buy more of the trailing 12 months and that maybe going forward, kind of 50% of net income is more of an appropriate rate in perpetuity sort of?
John Calmes: That's right. So we've had a buildup in that bucket over the -- that included fiscal -- all of fiscal '17, fiscal '18 and year-to-date, fiscal 2019. So that's how we've gotten to that initial buying level. At this point, we've more than achieved all of that and we'll just be building. So as of mid in the quarter or as of right now, we have 22.3 million available to buy under the facility. And under the current facility, we'll add to that at 50% of consolidated net income.
John Rowan: Okay. So the 23 million, that's the current authorization, or that's the current that's available based on the buildup of prior income per your credit agreement?
John Calmes: Right. So that's the buildup under the current credit facility that we have available to repurchase.
John Rowan: Okay. And then on the share count, right, obviously, 600,000 came -- you repurchased 600,000, but your share count didn't go down by that much. So I'm wondering what the timing was and if there's a way that you can handicap for us what the diluted share count was, I know it's difficult to answer, at the end of the quarter as opposed to the average share count that we could get the number right going into fiscal '20.
John Calmes: Right. So the -- we ended -- you don't include the unvested restricted shares in the beginning share count number, even though they're legally outstanding. For purposes of calculating EPS, they don't go into that number. So if you start with the 8.5 million, you add around 200,000, 300,000 for dilution, and that number will change, right, based on what happens with the share price. So -- but I think the 200,000 to 300,000 in dilution is a pretty good estimate on a quarterly basis.
John Rowan: Okay. And then what's the right tax rate to use going forward? And I assume that the tax rate in the quarter had a large -- was influenced significantly by your share price.
John Calmes: Well, so a lot of it is driven -- we purchased some state tax credits for the current year and past years, and that drove the tax rate down in the current quarter and year. So obviously, we'll attempt to continue to buy those on an annual basis going forward and possibly change our state tax structure to make that sort of a permanent benefit. Absent changes in tax structure or purchasing those tax credits, we still think the tax rate will be in that 23% to 24% range. If we are able to continue those purchases and/or change the state tax structure, it could be in the 22% to 23% range.
John Rowan: Okay. And then lastly, your peer last night talked about -- one of your peers last night talked about possibly trimming your credit bonds a little bit. I'm wondering if you -- I mean there's a lot of overlap in your branches, and I'm wondering if you saw any incremental benefit from them trimming up a bit and having customers shelving your branch.
Chad Prashad: I think that's certainly possible. However, we experienced growth across our entire footprint, which isn't necessarily the same footprint as a lot of our competitors. So it may be a contributing factor in some areas but probably isn't contributing across the board.
Operator: It appears there are no further questions at this time, Mr. Prashad.
Chad Prashad: Well, thanks for joining us. This concludes our 2019 year-end conference call, and we look forward to talking again in August.
Operator: Thank you for your participation. This concludes the World Acceptance Corporation quarterly teleconference. You may now disconnect.